Operator: Good morning. My name is Leandra and I will be your conference operator today. At this time, I would like to welcome everyone to the Meredith Fiscal 2019 Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Mike Lovell, Investor Relations Director, you may begin your conference.
Mike Lovell: Good morning and thanks everyone for joining us. Our call today will begin with comments from President and Chief Executive Officer, Tom Harty; followed by Chief Financial Officer, Joe Ceryanec. Then we'll turn the call over to your questions. Also on the line with us today are National Media Group, President, Jon Werther; and Local Media Group, President, Patrick McCreery. An archive of the call will be available on our website later this afternoon. Remarks this morning will include forward-looking statements and actual results may differ from our forecasts. Some of the reasons are described at the end of our news release that was issued earlier this morning and in some of our SEC filings. Certain financial measures that we're discussing on this call are expressed on a non-GAAP basis and have been adjusted to exclude the impact of special items. Reconciliations of these non-GAAP measures are included in our earnings release, which is available on the Investor Relations section of our website. With that, Tom will begin.
Tom Harty: Thank you very much, Mike, and good morning, everyone. I hope you've had the opportunity to see our news release that was issued earlier this morning. I'll begin with a quick review of our fiscal 2019 first half accomplishments and early second half revenue outlook. Then I'll update you on the integration of Time Inc. and the strategies that we are pursuing to maximize our new and exciting National Media portfolio. CFO, Joe Ceryanec, will then provide detail on our very robust Local Media Group operations, discuss our fiscal 2019 second quarter and first half results and provide our financial outlook for both our third quarter and full year ending June 30, 2019. Before I begin I want to acknowledge the many contributions made by Steve Lacy on behalf of the Meredith Corporation during his 21 years of service. As many of you know Steve will retire as Executive Chairman on March 31, but continue to serve as Chairman of the Board. Steve was a great steward of our shareholders investments, doubling revenue and tripling profit during his tenure at Meredith. On behalf of all of us, I want to say thank you. On a wider note, Steve participated in 84 of these quarterly conference calls and I'm sure he appreciates someone else doing it for a change. As we turned the corner into early calendar 2019, we are particularly excited about calendar 2019 advertising trends, where we see significant improvement in both our National and Local Media Groups. In our National Media Group, we see total comparable advertising revenue pacing down in the mid-single digits. This is a significant improvement compared to what we experienced in calendar 2018 as we work to integrate the Time Inc. titles. It's also in line with Meredith's historical and expected long-term performance. In our Local Media Group, non-political advertising revenue is pacing up in the mid single digits, driven by the professional services, media and furnishing categories. These categories represent more than 30% of non-political advertising revenues and are all up in the double digits. Offsetting declines in automotive that are driven by lower spending from manufacturers. Turning to our performance in the first half of fiscal 2019, we were pleased to deliver stronger than expected revenue, profit and related margin performance. Of note, National Media Group margins significantly improved reflecting our enhanced brand portfolio and ongoing work to drive efficiencies. Local Media Group margins improved as well, reflecting the record $102 million of political advertising revenues we generated. Additionally, we generated $638 million of consumer related revenue accounting for 40% of Meredith's total revenues. This revenue is contractual in nature highly stable and recurring. We've also negotiated several key agreements to position Meredith for future growth, and as a result have strengthened our balance sheet. Of note our Local Media Group entered into multi-year agreements with Comcast and Cox Communications to continue carrying our broadcast in the markets we share. At the same time, we renewed all five of our FOX affiliations, securing its carriage in these markets into fiscal year 2023. We are pleased with the terms and conditions of all of these agreements. We renewed our robust brand licensing program at Walmart through our fiscal year 2021. We closed on the sale of the TIME and FORTUNE media brands for a combined $340 million in cash. We used those proceeds along with cash generated from operations to repay $700 million of our debt. We are well on our way to delivering our $1 billion debt reduction goal this year. Finally, we continue to grow the amount of cash returned to our shareholders by raising the regular dividend by 5.5% to $2.30 on an annualized basis. We now have paid dividends for 72 consecutive years and raised them for 26 straight years. Importantly, since launching our total shareholder return strategy in 2011, we've more than doubled our dividend and delivered a 15% average annual return for our shareholders. Now let's turn to review of our group operating performance, beginning with our National Media Group. Fiscal 2019 second quarter National Media Group operating profit was $45 million. Excluding special items, operating profit was $69 million and adjusted EBITDA grew to $131 million. Revenues rose by 140% to $591 million. These results exclude discontinued operations. Fiscal 2019 first half National Media Group operating profit was $63 million. Excluding special items, operating profit was $100 million, and adjusted EBITDA grew to $218 million. Revenues rose by more than 130% to $1.1 billion. It was just over one year ago when we closed on the acquisition of Time Inc. Since then, we've made significant progress on the five key strategic initiatives that we put in place to integrate and maximize our new portfolio. To start, we said we would improve the advertising performance of the acquired Time Inc. properties to Meredith's historical levels over time. To accomplish this, we executed three key initiatives. First, we reorganized the way these brands went to market and implemented Meredith’s sales and operating strategies, standards and disciplines across the portfolio. Second, we invested in sales and marketing resources and activities; third, we aggressively marketed the new portfolio resulting in increased access to new advertising and marketing budgets even though most clients had already allocated the bulk of their calendar 2018 advertising budgets. As calendar 2018 progressed, we kept at it, securing victories large and small along the way. These moves earned our brands several agency-preferred partnerships and access to calendar 2019 advertising campaigns. As a result as we look into early calendar 2019 advertising performance, we see comparable print advertising revenue performance, down in the mid-single-digits. This is true to brands in both the legacy Meredith and legacy Time Inc. portfolios. Next, we said we would raise the profit margins of the acquired Time Inc. digital properties to Meredith's high levels. I'm pleased to say that we are accomplishing our goal in a challenging digital advertising environment. Our new digital platform combines premium content from the most trusted brands in media and deep engagement with our audience of 140 million unique visitors per month with rich insights that help our advertising partners drive a strong return on their investment. We are well-positioned to benefit from fast-growing advertising platforms including native, video, shopper marketing, programmatic, and social. Our digital activities today operate at margins similar to the National Media Group as a whole and we expect revenue and margin growth in fiscal 2019 compared to the prior year. Third, we committed to growing our high margin consumer-related revenue by leveraging our expanded brand portfolio. We are executing this plan on a number of fronts. For example, we are cross-promoting titles to increase the revenue and lower subscription acquisition cost, leveraging affinity marketer Synapse, including expanding beyond traditional magazine subscriptions, and growing our brand licensing business, which is ranked as the world's second largest. This includes having recently renewed our industry-leading licensing agreement for the Better Homes & Gardens line of products with Walmart. We're also seeing enhanced digital-first opportunities including e-commerce and affiliate content marketing where we generate revenues from lead generation and paid products such as membership programs built around our brands. As a result, during the second quarter of fiscal 2019, consumer-related revenue accounted for 44% of total National Media Group revenue. Fourth, we announced a comprehensive review of our media portfolio and began a process to divest brands and businesses not core to our business. Since then, we realized proceeds of $340 million to the sales of the TIME and FORTUNE media brands and we've used the proceeds from the debt reduction I mentioned earlier. Let me add that these were very attractive prices. We anticipate agreements to sell the Sports Illustrated and MONEY brands along with our 60% equity investment in Viant to be finalized in fiscal 2019. Finally, we've identified at least $550 million of annual cost synergies we expect to realize by the end of our first two years of combined operations and we began the work to harvest those savings. For example during calendar 2018, we put in place and executed against most aspects of the integration. For example we've fully integrated our HR, finance, legal, and IT functions. From an operations standpoint, we transitioned all advertising production, magazine subscription, and consumer marketing functions to Meredith's footprint. We expect approximately half of these identified savings to come from already announced reductions in headcount with the remainder of the savings coming from vendor contracts, real estate, and other non-headcount-related activities. With that review of our National Media Group performance, I'll turn it over to CFO, Joe Ceryanec to update our Local Media Group performance, summarize our fiscal 2019 second quarter and first half results, and update our financial outlook.
Joe Ceryanec: Thanks, Tom, and good morning everybody. Fiscal 2019 second quarter Local Media Group operating profit was $107 million, adjusted EBITDA was $116 million and revenues grew to $262 million. All of these metrics were records for a fiscal second quarter. Fiscal 2019 first half Local Media Group operating profit was $174 million, adjusted EBITDA was $194 million and revenues grew to $477 million also all records. Our second quarter performance was led by political advertising revenues of $66 million. That was 65% higher than what we delivered during the last political cycle in the second quarter of our fiscal 2017. Political spending was particularly robust in the Phoenix, Las Vegas, St. Louis and Kansas City markets, primarily due to very competitive races at the federal, state and local levels. Nonpolitical ad revenues grew 16% to $120 million including the addition of MNI Targeted Media, which delivered revenue growth of 18%. We’re excited about the opportunity that MNI brings our Local Media Group. MNI was a subsidiary within Time Inc. and is a media planning and buying company with 50 years of experience in targeted marketing at the local, regional and national levels. We're in the process of expanding its scale and improving its margins. Consumer related revenues in our Local Media Group increased 18% to $74 million due to growth in fees from cable and satellite television operators. These increases were partially offset by higher payments to affiliated networks. Our consumer connection remains very strong. The number of pay-TV subscribers across our markets grew in the second quarter of 2018 compared to the year-ago period, driven by growth in OTT subscribers. Additionally our stations delivered strong financial performance during the November ratings period with stations in eight of our 12 markets are ranking number one or number two in morning or late news. As Tom mentioned, we renewed retransmission agreements with Comcast and Cox, representing 35% of our subscriber base, and extended our FOX affiliation agreements into fiscal 2023. We expect to renew another 60% of our MVPD contracts in fiscal 2020 while our CBS and NBC affiliation agreements are in place until mid-calendar 2020. As a result, we expect to see an increase in net retransmission process had a profit contribution through fiscal 2020. With that I’ll review -- with that review of our Local Media Group performance, I'll summarize our fiscal 2019 second quarter financial performance. Total company revenues from continuing operations more than doubled to $854 million. Total advertising revenues doubled to $489 million and consumer-related revenues also doubled to $337 million. Earnings from continuing operations including special items in both periods were $87 million compared to $159 million last year. As you may recall the prior year reflected a benefit of $133 million from tax reform. We recorded $5 million of net special items after tax in the second quarter of fiscal 2019 and earnings per share from continuing operations were $1.43. Excluding special items at both periods, earnings from continuing operations increased to $92 million in the second quarter of fiscal 2019 compared to $52 million in the prior year. Earnings per share increased to $1.53 compared to a $1.14. And adjusted EBITDA more than doubled to $231 million compared to $85 million. And adjusted earnings per share increased to $2.55 compared to $1.34. As detailed in our press release issued this morning, we’ve repaid a total of $700 million of our debt since closing on the Time Inc. acquisition. This includes $573 million of our term loan B and $127 million of our bonds. This brings us to 70% of the way towards our goal of paying down $1 billion of debt during our current fiscal year. Our net debt stood at $2.4 billion at January 31, 2019. And finally, just last week we raised Meredith's regular dividend by 5.5% to $2.30 on an annualized basis. This marks our 26 straight-year of dividend increases for Meredith and the company has paid an annual dividend for 72 consecutive years. And we are proud to be a dividend aristocrat. Since launching our total shareholder return strategy in October of 2011, we've increased our dividend to more than 125% and delivered an average annual return of 15%. Now turning to our outlook. For the full year fiscal 2019, we expect that total company revenues will range from $3 billion to $3.2 billion which is unchanged from our original guidance communicated on August 10, 2018. Earnings from continuing operations to range from $187 million to $207 million and from $2.40 to $2.82 on a per share basis, this includes a net after-tax charge for the first half special items of $18 million. Our actual results for the full fiscal year may include additional special items that have not yet occurred and are difficult to predict with reasonable certainty. Excluding special items, we continue to expect earnings from continuing operations to range from $205 million to $225 million or $2.78 to $3.20 on a per share basis. This is also unchanged from our original guidance we communicated in August. Finally, we expect adjusted EBITDA to range from $720 million to $750 million which again is unchanged from our original guidance and adjusted earnings per share to range from $6.89 to $7.31. Now looking at the third quarter of fiscal 2019, we expect total company revenues will range from $715 million to $735 million and that includes the National Media Group revenues to range from $530 million to $540 million and Local Media Group revenues to range from $185 million to $195 million. Earnings from continuing operations to range from $29 million to $36 million, and from $0.21 to $0.36 on a per share basis. Again, these ranges do not include special items and actual results may include special items that have not occurred, and again are difficult to predict. And finally, we expect adjusted EBITDA to range from $145 million to $155 million and adjusted earnings per share to range from $1.25 to a $1.41. Now, I'll turn it back to Tom to conclude our comments and lead the Q&A
Tom Harty: Thank you very much, Joe. Let me close our formal comments this morning, with what we continue to believe is a compelling investment thesis for the new Meredith Corporation. The diverse set of businesses and brands that we now own and operate produce consistently strong cash flows and it's driven by trusted national brands, with an unrivaled reach to American women particularly millennials, and attractive group of television stations in large and fast growing market, a highly profitable and growing the digital business, now of meaningful scale, high-margin consumer revenue activities that are based on both our strong national and local brands, and a strong and proven management team with a very successful record of integrating acquisitions a history of generating strong cash flows and growing shareholder value over time. Without a doubt, calendar 2018 will go down as a transformational and perhaps the busiest year in the history of the Meredith Corporation. I couldn't be prouder of the effort turned-in by our operating groups and our corporate functions. I know, I speak for our Board, Steve and our senior management team in thanking and congratulating everyone for the long hours and hard work. While there is still more to be accomplished, we are very proud to be delivering on our plan. This includes, the stronger trends we're seeing in advertising performance in both our National and Local Media Groups, along with the progress we're making toward our debt reduction goals. Now, we'll be happy to answer any questions you might have this morning.
Operator: [Operator Instructions] And your first question comes the line of Dan Kurnos with Benchmark. Your line is open.
Tom Harty: Good morning, Dan.
Dan Kurnos: Good morning, there we go. Just like Steve. So just a couple of questions here, tough since we don't have a real clean comps yet, but can you just clarify in the quarter itself how national print and digital did? And then, on the Q1 guide just again to be clear, Tom you talked about improving digital trends and you said you were pacing I guess in this quarter down mid-single digits in line with historical Meredith. So, I'm just trying to line up exactly, if that fits and then maybe what the sub trends were in the other segments to get to your numbers?
Tom Harty: Yeah, I'll have Joe dig out the breakdown for print going backwards, but overall I have the numbers right here Dan, if you looked at the National Media Group combined print and digital performance in Q1 and we've talked about this before, we were talking about sequential quarter-over-quarter improvement. So in Q1 combined we were down 12%. In Q2, we were down 10% and that includes both portfolios combined and now we're giving guidance that we’ll be down at about the mid-single digits. So, a significant improvement and positive outlook for Q3. And I don't know if Joe if you have any thoughts.
Joe Ceryanec: Yeah. If we just break out print, Dan in Q1, fiscal Q1 and fiscal Q2, the print combined was down in the mid-teens, as Tom said Q2 was a little better than Q1, and now in Q3 we're looking at print down in the mid- to high-teens. So, I'm sorry, mid- to high single digits.
Tom Harty: So we're looking for about 800 basis point improvement in Q3 versus Q2.
Joe Ceryanec: And the TIME portfolio and the Meredith portfolio both in line with as we talked about historical Meredith trends. So a real significant improvement as we moved into Q3 on the TIME portfolio especially.
Tom Harty: And you had a question to follow-up on the subaccounts?
Dan Kurnos: Yeah, just on the National side, I'm just trying to parse out the consumer-related. So I am just curious if you have any incremental color on how subscription and news stand did in the quarter and how they're kind of pacing going forward?
Tom Harty: Joe, can dig out if we have the numbers particularly but the subaccounts are rock solid and consistently about the same. We have about $42 million print subscribers and that's been consistent year-over-year when you combine the two portfolios. Newsstand has been a little weaker and this is really that we're bugging some industry trends with shopping business and grocery stores down. So we're seeing a little bit more headwinds in the newsstand but it represents a very small percentage of our total consumer revenue.
Joe Ceryanec: Yeah, I would say Dan what we're seeing, and again the numbers are not comparable in Q2, they will start becoming more comparable into Q3, obviously. But we're seeing subscription revenue fairly flattish, maybe up just a tiche and we're seeing as Tom said newsstand is down a few percent
Dan Kurnos: Got it. And just last one from me if I could, just on your local pacing, I was just a little bit confused is that -- I'm assuming the up mid-single is that with consumer related is that with the retrans or is that actual retrans, is that just pure core?
Tom Harty: That is pure core advertising.
Dan Kurnos: And is that including -- is that organic or is that including the TIME stuff that you acquired.
Tom Harty: No, that's organic, Dan. We do benefit this quarter from the Super Bowl, being heavy CBS. So we're pacing probably ahead of our comp set, but we even -- it's never exact but trying to remove the effect of the Super Bowl, we would still be pacing up probably low single digits organically.
Dan Kurnos: Perfect. That’s what I was getting at.
Tom Harty: Our guidance is up mid single.
Dan Kurnos: Got it. All right. Thanks guys. I appreciate it.
Operator: Your next question comes from the line of Kyle Evans with Stephens. Your line is open.
Joe Ceryanec: Good morning, Kyle.
Kyle Evans.: Hey, how are you? A quick follow-up on that last question. I just want to make sure that MNI, I think you said was up 18% in 2Q and I want to make sure that when we're talking about core and LMG that we're not including that.
Joe Ceryanec: MNI is going to run through the consumer line, no third-party sales, okay.
Tom Harty: MNI is up 18% in Q2.
Kyle Evans: I don't have third-party sales broken out, because I don’t have the Q.
Tom Harty: Well, you'll have it later today, Kyle…
Joe Ceryanec: Q is coming out, yeah.
Kyle Evans: But just to be clear….
Tom Harty: Just to be clear, back to Dan's question, the local non-political ad pacing up mid-single digits is truly organic. It does not include MNI.
Kyle Evans: Okay, great. You guys -- the corporate expenses were down pretty significantly quarter-over-quarter is that all synergy? Is there some seasonality there and kind of what's the outlook for the second half of the year on that line? And maybe even a little look forward into fiscal 2020?
Tom Harty: It is synergies coming in Kyle. In corporate, a lot of our facilities, a lot of the what I call shared service functions, IT, accounting, finance run through there -- and that's a good chunk of it. And I think for the next two quarters, we'll probably see similar to maybe slightly reduced corporate expenses. Now if you're looking at the -- without the special items, you have a lot of transaction costs there but we pull those out for special items.
Kyle Evans: And you gave us those in the tables back too.
Joe Ceryanec: Yes, they’re in the tables.
Kyle Evans: You mentioned that you've 60% renewing on re-trans in fiscal '20.
Joe Ceryanec: Yes.
Kyle Evans: Could you give us the cadence across the year there so we know when to kind of look for separate months increases?
Tom Harty: Joe is digging it out.
Kyle Evans: And maybe just while you're shuffling papers there also just kind of a long-term net re-trans growth comment?
Tom Harty: Yes. We -- longer term, we believe that net re-trans will grow kind of that mid-single digits, mid-to-single high digits longer term that's our stated hypothesis going forward.
Kyle Evans: And the FOX renewal didn’t cause that to change one way or another?
Tom Harty: No, we're very pleased with the FOX renewal.
Joe Ceryanec: Yes. So, Kyle, as I'm looking at the MVPDs that renew, we've got about 14%, 28% of renewing in first half of the calendar year. So not quite half and that's going to include Dish, Mediacom and Charter. And then later in the year, the biggest MVPD which is AT&T DIRECTV which is almost the other half is in May, so almost towards the end of fiscal 2020, so about half of the 60% in the first half of the year and the other half towards the end of the fiscal year.
Kyle Evans: Great. And lastly, I know we're not going to talk about legacy you warned me off that last quarter, but maybe just some very high-level commentary on how People is performing. I think maybe even some us that follow TIME as a stand-alone company may have underestimated the importance of that title? And that's my last question. Thanks.
Tom Harty: Yes, People is improving across the portfolio. So, we're seeing the same improvement that we're seeing that I talked about, 800 basis point improvement quarter-over-quarter, we're seeing the same kind of improvement in People also. So, this is -- we've got some titles now on the TIME legacy side that are actually up year-over-year which we're excited about, but when you’re taking blended altogether, as I said before, the whole portfolio is kind of performing about the same. When you look back at the -- when they had really poor performance, when they went through their reorganization a couple of years ago, you could point at the portfolio and see that the brand is performing the same. So, we're seeing that recovery come back the same way.
Kyle Evans: Thank you.
Operator: Your next question comes from the line of Craig Huber with Huber Research Partners. Your line is open.
Tom Harty: Good morning, Craig.
Craig Huber: Hey, good morning. Thank you very much. Just A few questions if I could. Maybe we can start out with digital. These past three quarters -- the past two quarters plus the current quarter we're in right now, digital ad revenue percent change year-over-year, if you could give us that, you gave us the print. Thank you for that.
Tom Harty: The last two quarters I know that our digital performance is basically flat from a digital perspective advertising on a comparable basis. I don't have the prior quarter.
Joe Ceryanec: Q1 was up just a titch, Q2 was flat, and right now, we're flattish in Q3 as well.
Tom Harty: Yes. And when we look at the performance, when we benchmark ourselves against our competitors which we would call premium publishers in the digital space. We believe we're outperforming. We believe a lot of our competitors are down double-digits in that space.
Craig Huber: And then also your long-term guidance, I guess, for next year, the $1 billion EBITDA target, what are you thinking for that year embedded in that target for? Now, you are seeing advertising percent change year-over-year and also the circulation piece of it, but what's just sort of outlook there that's embedded in that $1 billion number? I assume those are the two big variables here in order to get to that number, I assumed you're pretty darn comfortable with your $550 million cost savings.
Tom Harty: Yes, Craig I just like to first correct you that we haven't given a guidance number yet for the next fiscal year, but $1 billion is the stated goal of ours. And as we move now into our budgeting process, we're going to take a look at and we'll obviously be giving guidance at the end of this fiscal year. We're always weighing short-term goals against our long-term strategy of investing in the business for sustained growth. And as we look out, we believe that we're going to hit that $1 billion goal no matter what, worst case by fiscal 2021. But our hypothesis hasn't changed on where we believe print advertising is now as we're seeing the TIME portfolio start to perform similar to the Meredith portfolio. We believe that print will decline in that kind of mid-single-digit range, digital will be up in that mid-single-digit range, and overall, consumer revenue will continue to grow.
Craig Huber: And then also if I could just ask what's your current thought on your appetite for TV station acquisitions in terms of how much capacity do you still have on the debt side. I think -- most recently I think you said you have maybe $200 million or so of capacity on that front? Thank you.
Tom Harty: Well, I'll let Joe pile on here, but we look at every single broadcast deal that comes about and we believe we have a lot of dry powder to be looking at acquisitions. We have before we -- a year ago when we announced the Time Inc. deal, we feel we had borrowing capacity, especially in the broadcast area and that's one of the reasons why we've been so aggressively paying down debt to get more dry powder to take a look at new opportunities that come up.
Joe Ceryanec: Yes, right. I'd really say the same thing that Tom has said. I mean, our focus is getting that leverage down to two times to give us more flexibility to whether it's on the broadcast side or the digital side, but just to start looking again at M&A.
Craig Huber: Great. Thank you, guys.
Tom Harty: Thanks, Craig.
Joe Ceryanec: Thanks, Craig.
Operator: Your next question comes from the line of Jason Bazinet with Citi. Your line is open.
Tom Harty: Good morning, Jason.
Jason Bazinet: Hi, guys. Good morning. I just had two broad questions. In terms of hitting the $1 billion of debt reduction by the end of the fiscal year, what is the number on the balance sheet and assets held-for-sale a reasonable proxy for what sort of proceeds you need from SI and MONEY and the 60% stake in Viant? And my second question is, has anything changed? I think the buy side is very nervous about a slowing macro economy? And is there anything that you're seeing sort of in the broader ad ecosystem or the behavioral of your clients that sort of suggest that’s a reasonable concern to have? Thanks.
Tom Harty: I'll give Joe the first one related to the asset sales and what's on the balance sheet.
Joe Ceryanec: Yes. So I just did some quick math, Jason. If you take the net assets versus liability, it's $170 million. I would say, we feel like we could get to our $1 billion goal. We would need some of that, maybe not all of it. As Tom said, it's really SI, there's also a website within SI, that's FanSided. So there are really two assets there. You've got MONEY and you've got Viant. So we continue to believe we're going to get those assets sold. We continue to believe the value on our balance sheet as reasonable. But I would say, we need some of that, but maybe not all of it, to get our $1 billion, as you’ve heard us say we're at $700 million through the end of January, so about $300 million to go.
Tom Harty: Yes. And on your broader question about the advertising trends, we are cautiously optimistic about calendar year 2019, especially if you just heard the guidance that we gave for our Q3, both sides of the business, the Local and the National, we're very optimistic right now. But, obviously, advertising expenditures are totally correlated to the broader economy. But so far, we aren't seeing any of our advertisers signaling anything related to pulling back. But, obviously, we'll watch it as we go along.
Joe Ceryanec: Yes. And I guess the one thing, Jason, when we compare the business today versus where we were 10 years ago and one of the reasons we are stressing the consumer revenue, I mean, 44% of the revenue now in the National Media Group is coming through tens of millions of individual transactions. We also now have the retrans and I don't have the percent in front of me, but a significant percentage of the Local, which 10 years ago we did not have. So to Tom's point, it still would be a hit to advertising, no doubt, but we feel a lot better about the other sources of revenue and being stickier and less cyclical in the event of a downturn.
Tom Harty: Yes. And you've been following us for a long period of time and if you go back to the great recession and you looked at the National Media Group, the consumer side of the business, it was rock solid. We offer a lot of value to the consumers at a very reasonable subscription price and we saw no fall off in one of the worst economic times, to pile on Joe's point.
Jason Bazinet: Understood. Thank you very much.
Tom Harty: Thanks, Jason.
Operator: Your next question comes from the line of Marci Ryvicker with Wolfe Research. Your line is open.
Marci Ryvicker: Thanks.
Tom Harty: Good morning.
Marci Ryvicker: Couple of questions on Local and then on National. First on the Local segment. Can you talk about net retrans margins going forward now that you signed FOX and Cox and Comcast? Are they relatively similar? Or are you expecting them to trend down over time?
Joe Ceryanec: Marci, I'm looking at where we're at today and where we expect to be out kind of a year, and I think we're pretty stable and what we're renewing is in line with where we're at and we’re in that net mid to high 40% that we’re keeping.
Marci Ryvicker: Okay. And are most of your reverse agreements as a percent of retrans, or program fee, or is it a combination?
Joe Ceryanec: It's a combination. It's moving more toward a -- I'll call it an annual programming fee and getting away from a per sub-rate.
Marci Ryvicker: Got it. And then can you give some color on the auto category for the current year, I know there's a lot of noise in the Super Bowl and last year's Olympics, but any visibility on this category either for the current quarter or even for the rest of the year?
Joe Ceryanec: Patrick may be I'll bring you in here to give some color on the automotive category as you see it.
Patrick McCreery: Yeah, look, what we saw on the recent quarter was that auto was -- domestic was down less than foreign, dealer spending was up slightly thought during the quarter, so I think what we're seeing is again cyclical not systemic, mostly off by the manufacturing piece.
Marci Ryvicker: Okay. And then just generally speaking, when you provided guidance for the current quarter, how much of your business is booked both for National and for Local?
Tom Harty: On the National side, our business has changed a little bit because we've got Weekly as specifically People, which represents a large share of the advertising revenue. So usually we're about two weeks out two to three weeks out with People. So, it’s changed fairly, drastically when we used to look at the legacy Meredith perspective. So we've closed the issues that we have involved with our fiscal third quarter or our February, March and April issues or monthlies. Our February and March issues are closed and we're currently right in the mix of working and closing our April issues. So we do have – we got a ways to go on People.
Marci Ryvicker: Okay. And what about then Local?
Tom Harty: On the Local Media Group side – yeah, Local Media Group side, I would say about -- I was going to say, Patrick do you have a number on the pacing, is it about 6, 7?
Patrick McCreery: Yes that's about right. That's right.
Tom Harty: Then on digital, which is not an insignificant amount of advertising now in the National Media Group digital represents over $400 million. We're booking – we book ads within two days. So we still got our ways to go from a digital perspective also.
Marci Ryvicker: Okay. Just want to make sure for Local did you say, 70% or 60%?
Patrick McCreery: Hang on, Marci, we're pulling – we get our pacing every Friday, we are pulling up the Friday e-mail. We're 85% booked through last Friday for our third quarter.
Marci Ryvicker: Got it. Thank you so much.
Tom Harty: Thank you.
Operator: And your next question comes from the line of Craig Huber with Huber Research Partners. Your line is open.
Craig Huber: Hi. This is a follow-up question on your cost savings target of the $550 million, can you give us what that annualized number was, please, at the end of the December? And if you could, do you know what it's going to be at the end of March and end of June, what's the sort of cadence?
Joe Ceryanec: I don't have it by quarter, Craig. I think as we've talked about before it was just broadly we had about $50 million that hit in fiscal 2018. This year by the end of the year, we think will be the run rate of another $350 million and that would carry about $150 million to our fiscal 2019. I don't have it broken down by quarter.
Craig Huber: Okay. And then also, I know you said it's preliminary here, do you had that long-term aspirational target of $1 billion guidance for the whole company for EBITDA for fiscal 2020, but just to be clear here obviously -- ?
Tom Harty: Yeah. Well, as I said, Craig…
Craig Huber: I'm just curious, you need to be, the one hitch here, of course, is extra invest – potential investment spending and trying to bringing in Time Inc. and that's obviously a big unknown in your mind, I just wanted to be clear on that point, right?
Tom Harty: Yeah, we're going to investment spending is a question for next year. We're just entering our budget cycle as we kind of enter the end of our fiscal year and we're going to go to our board and decide what we're going to set for next year as we look at our business. But longer term, our stated goal of $1 billion EBITDA will be insight in the next 18 to 24 months if not sooner. And we're always balancing short-term goals against longer term targets sort of growing our business and investing for sustainable growth.
Joe Ceryanec: Yeah. I guess, I will just pile on Craig, as we look – we’re just now entering all our groups are coming in and we’re doing strategic plans. We go to our board in May with the budget in our three year plan. And to Tom's point, it's a balance of bringing every last dollar of cost versus investing in the business and the question we're going to be getting in six months is, how you're going to grow the top line. And that's really, what the focus is now is, how do we get back to organic revenue growth. So that one would be of balance and again, we are not – t hat's still our goal, but we'll guide at the end of the calendar year where we think the fiscal 2020 will be.
Tom Harty: Thanks, Craig.
Craig Huber: Great. Thank you for the clarification. Bye-bye.
Tom Harty: So that concludes our call this morning. We appreciate everyone's time and we look forward to speaking to you again in roughly three months. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.